Operator: At this time I would like to welcome everyone to the CNET Networks third quarter financial results conference call. (Operator Instructions) At this time, I would like to turn the call over to Gloria Lee of Investor Relations.
Gloria Lee: Thank you and good afternoon. Before we begin our formal comments, I would like to remind you that in the financial news announcement released today, and also on this call, CNET Networks is providing specific forward-looking statements including guidance related to our expectations of future financial performance. Any forward-looking statements made as part of our news today are subject to risks and uncertainties that could cause actual or predicted results to differ materially. These risks are outlined in our third quarter news announcement as well as in the company’s Securities and Exchange Commission filing, including its 10-K for the year 2005, which can be obtained from the SEC’s website or directly from our investor relations website on CNET Networks. All information discussed on this call is as of October 23rd, 2006. CNET Networks undertakes no duty to update this information. Hosting today's call are Neil Ashe, CNET Networks' Chief Executive Officer and George Mazzotta, our Chief Financial Officer. Now let me turn the call over to Neil.
Neil Ashe: Thanks, Gloria and thanks everyone for joining us. I'm honored to be with you today as the CEO and I am excited to lead CNET Networks into the future. CNET Networks is a special company with an outstanding opportunity to grow and to help to find the media landscape of the future. For those of who don't know me, I come into this role from my position of heading up several business units in our company, including International, Community and Business; and overseeing corporate strategy and development. These roles have enabled me to be a key contributor in steering the company’s growth and expansion over the last four years. At CNET Networks, we remain focused on realizing the long-term opportunity for our company and on maintaining our leadership in the interactive content category. We are pleased with our continued ability to grow our audience and to further build our portfolio of brands for people and the things that they are passionate about. Our third quarter results are as follows: total revenues were $92.8 million, up 13% from the third quarter of 2005. We averaged 125 million monthly unique users, up 13% from third quarter 2005. As we have mentioned, trends in the technology and video game industries are affecting our growth this year. While we would like to be growing faster, we have market-leading brands in these categories including CNET, ZDS, Tech Republic and GameSpot, and we are confident in the future of these brands. As we look to the future, we will be focused on the following: First, we will remain focused on realizing the potential and opportunity of our existing brands. In the last four years, we have grown from almost exclusively technology brands to leading brands in personal technology, technology for business, games, music, television, community, food and parenting. These brands provide us with the foundation for continued leadership and growth. Second, we will be focused on identifying and realizing new opportunities for growth. Our filter for evaluating these opportunities is straightforward. Is there user interest online? Is there marketer interest? And, do we believe we can do it better? As we have entered numerous categories, we have demonstrated an ability to build new properties, to buy new properties, as well as to combine building and buying to create new properties. Third, we will focus on continuously improving what we do so that we can drive profitable growth. We see the future opportunity and are committed to invest in our developing brands and new properties. At the same time, we will improve upon our operations so that we will have more resources to create value for our users, our marketing partners, our employees, the communities in which we operate, and of course, our shareholders. I'm confident in our ability to deliver because of our company and our team of people worldwide. CNET Networks is a different kind of media company that is large, profitable, and growing. We are one of the largest Internet networks in the world, reaching 125 million people every month. We're a vibrant company of talented, passionate, committed people and we represent a collection of outstanding brands for people and the things that they are passionate about. Whether we are talking about our established brands like CNET, ZDNet, Tech Republic and GameSpot, or our developing brands such as T.com, Chow, and Urban Baby, this foundation provides us with the opportunity to do great things today and in the future. The size of our audience continues to grow and our roster of advertising customers is broadening. In my new role, I look forward to further positioning us in the success in the growing online advertising industry. With that, let me turn it over to George to cover our financial highlights in more detail and after that I'll provide more insight into our initiatives and our outlook.
George Mazzotta: Thank you Neil. We generated $92.8 million of total revenue in the third quarter, which was 13% above last year. Total revenue was driven primarily by growth in our interactive businesses, offset by a year-over-year decline in international publishing. As a reminder, our result exclude revenues related to Computer Shopper magazine, which we sold in the first quarter of 2006 and subsequently treated as a discontinued operation. Our total third quarter revenues came in slightly below our guidance of $93 million to $96 million due to continued softness of marketing spend in both the technology and video game industries. Although this slowdown in marketing spend is consistent with what we have discussed on previous conference calls in April and again in July, we had not anticipated the degree to which product delays and product transition would affect marketing spend in the second half of this year. We believe that our revenue performance and current guidance reflects temporary decline in marketing spend, and not fundamental shifts in the trajectory of our long-term revenue growth. Despite softness in these market sectors, we are pleased with our efforts to retain and expand our advertiser base. Across the entire network, our top 100 customers represented 54% of total revenue, which is consistent with our previous quarter. Moreover, 96% of our top 100 advertisers who did business with us in the second quarter also did business with us in the third quarter. We are also pleased with our success in sustaining growth in multiple revenue streams. Marketing Services grew year-over-year 13% to $80.2 million; licensing fees and user revenue grew year-over-year 14% to $12.6 million. Search revenues from our Google partnership represented approximately 10% of our total revenues for the quarter. During the third quarter, our cash position decreased slightly to $141.8 million from $143.3 million at the end of the second quarter. During the quarter, we invested $6.9 million in capital expenditures to support strategies infrastructure builds and new business development. We also invested $3.4 million in acquisitions during the third quarter. Our days sales outstanding at the end of the quarter was 73, a seven day increase compared to last year and a six day increase compared to the prior quarter. Now, I would like to prove you with CNET Networks’ guidance for the fourth quarter and full year 2006. We expect total revenue for the fourth quarter to be within the range of $108 million to $115 million which represents 5% to 14% growth, excluding Computer Shopper magazine from 2005 fourth quarter results. For the full year 2006, as previously announced on October 11th, we expect total revenues to be in the range of $376 million to $386 million, which represents 12% to 15% growth excluding Computer Shopper magazine from full year 2005 results. We also expect our capital expenditures to be with in the range of between $35 million and $38 million for the full year 2006. In summary, we are confident in the long-term fundamentals of our business and the growth opportunities ahead of us as we move forward towards 2007. Before I turn the call back over to Neil, I would like to spend a few minutes to share with an update on the recent events and disclosures relating to our stock option investigation. On October 11th we announced that the special committee established by the company’s Board of Directors completed their investigation and issued a report presenting the following conclusion: There were deficiencies with the option grant process at the company including, in some instances, the backdating of option grants during the period from the company’s IPO in 1996 through at least 2003. These process deficiencies resulted in accounting errors. A number of executives of the company, including the former CFO, and the recently-resigned CEO, General Counsel and Senior VP of HR bear varying degrees of responsibility for these deficiencies. The report does not conclude that any current employees of the company or any recently resigned employees engaged in intentional wrongdoing. Since 2003, the company has taken steps to remedy these deficiencies through personnel changes and improved internal controls. The special committee recommended a number of additional remedial measures. The recently resigned executives and the directors who received improperly priced options have agreed voluntarily to have these options repriced at fair market value on the appropriate measurement date. For what I hope are obvious reasons, we will not respond on this call to any questions relating to the conclusions of the special committee or the circumstances of recently-resigned executives. Currently the company, in partnership with our independent auditors, is reviewing stock option grants from 1996 to present to determine the appropriate accounting treatment in accordance with recently published guidance from the SEC. As previously disclosed on July 10th, management expects that CNET Networks will restate its historical financial statements to record non-cash charges for compensation expense relating to past stock option grants. The effect of the restatement will likely be to reduce the amount of our previously reported operating income and net income, or increase the size of our previously reported operating loss or net loss, as determined in accordance with GAAP. We have not yet determined the amount of such charges, the resulting tax and accounting impacts, or which specific periods may require restatement. However, we do not expect that the restatement will have any impact on our previously reported revenues or cash positions. Similarly, we do not expect the restatement will have any effect on our previously reported non-GAAP operating income before depreciation, amortization, impairment and stock compensation expense which is the corresponding non-GAAP financial measure that we normally disclose in our financial releases and communications with investors. We are working diligently with our independent auditors and outside advisors to conduct a thorough and accurate review as expeditiously as possible. However, we will not be in a position to file our quarterly report for the third quarter on Form 10-Q or to provide operating expense, operating income, net income or earnings per share on a historical basis or as part of our business outlook pending the completion of our restatement process. Because we cannot report these measures on a GAAP basis we will not be able to disclose, discuss or provide guidance for corresponding non-GAAP metrics. As a result we will limit our remarks today to revenue and cash position and not be able to provide any further financial information. We are also limited in what we can discuss about the timing and process of our financial restatement. We will not speculate on this call about when we may file financial statements with the SEC. Our inability to file financial statements with the SEC presents two other issues. A covenant default of our $125 million convertible bond and a potential NASDAQ delisting. Let me spend just a few minutes addressing how we are managing these issues. The company announced on September 13, 2006 a consent solicitation of our bond holders of our outstanding $125 million convertible note. Our proposal offered an additional 7% per annum in special interest for one year and if accepted, would have waived our financial statement filing requirement for one year and bound consenting bond holders to waive their repurchase rights in the event of a delisting that might have occurred in that year. On October 11th, we announced a modification and extension to our solicitation, offering bond holders two years of additional call protection and five additional business days to consider this modification, as well as other concurrent disclosures relating to the company’s stock option investigation. This modification consent offer expired on Wednesday October 18. Our consent offer carefully considered the financial value of our convertible notes compared to other capitalization scenarios. Our analysis favored long-term shareholder return. We offered this consent because we believe that a convertible note with a 0.75% coupon and conversion price of $15 was an attractive debt instrument. However, we were not willing to pay any more than the $8.75 million of special interest consideration offered in the consent to retain these notes. On October 19th, we announced that we did not receive a sufficient number of consents from bond holders to satisfy the 70% requisite consent threshold. If the bonds are accelerated, we intend to repay the bonds at par value according to the indenture. It is important to understand the liquidity effect of retiring the $125 million convertible notes. Our cash and investment balance was approximately $142 million at the end of the third quarter and we have an unused credit facility of $60 million. With over $250 million of liquidity including net receivables, our current balance sheet affords us the flexibility to pay off these notes. After paying off our convertible bonds, we will have almost $77 million of cash, our leverage ratio will drop dramatically and our liquidity ratio will improve significantly. As a reminder, CNET Networks entered into a $60 million one-year credit agreement with Bank of America on September 13th, shortly we initiated a solicitation of consent from our bond holders. Our inability to file a financial statement also set in motion a NASDAQ delisting procedure. On August 14, 2006, CNET Networks announced that it would request a hearing before the NASDAQ listing qualifications panel in response to a NASDAQ staff determination letter notifying the company that we are not in compliance with NASDAQ reporting standards. We are fully engaged in the NASDAQ appeals process and as of today, we have not yet received a decision from a NASDAQ hearing panel. Pending their decision, CNET’s common stock will remain listed on the NASDAQ Global Select Market. We cannot assure you that the hearing panel will grant the company’s request for continued listing. I would now like to turn the call back over to Neil.
Neil Ashe: Thanks George. Before I talk about our initiatives during the quarter, I would like to take a minute to comment on developments in the industry, both on the user and marketing fronts. On the user front, it is impossible to ignore the tremendous growth in social networks, such as MySpace. Their growth is impressive but should, I think, be put in context. These social networks are in effect communications tools for a new generation of users. As such, they share many of the same user characteristics as email and instant messaging. With that context, it is not surprising at all that according to Nelson Net Ratings, MySpace’s approximately 50 million unique users are beginning to approach the number of instant messenger and email users. We’ve also seen tremendous growth in online video, most specifically at YouTube. Bandwidth and storage are finally affording the large-scale adoption of IP video and there is no question that video on demand is a phenomenon. People are avid consumers of high quality content and not surprisingly, much of the content that they are consuming in these venues is professionally produced, original content. Over time, these remain positive trends for CNET Networks. We have the ability to generate high quality, original content in text, photos, audio and video and build properties that uniquely combine this content with community. On the revenue front, we are seeing some categories of marketers where the migration of investment is further along than others. While this means that some categories will not grow as fast as others, the macro trends remain the same. Online is growing dramatically as a user media, and it is under-spent from a marketing perspective, which will lead to sustainable revenue growth in excess of the general advertising industry. During the third quarter, our business remained healthy, traffic is consistent and we’ve added new brands to our portfolio while continuing to broaden our set of advertisers to help take advantage of the longer-term opportunities that we see in the marketplace. We averaged 125 million monthly unique users turning approximately 86 million pages per day, an increase of 13% in users and a decrease of 13% in pages. If you exclude Webshots, we saw 15% increase in pages. While page views are an important metric, they are not the sole determinant of either our user interaction or the quality of our user experience. In some cases, we purposely decided to streamline navigation to create better user views and reduce the number of page views per user. Now turning to the advertiser front. Year-to-date, we have 57 of the 2006 AdAge top 100 advertisers doing business with us. As George mentioned, our advertiser renewal rates remain strong with 96% of our top 100 advertisers from the second quarter doing business with us in the third quarter. Our portfolio of new properties continues to expand and we remain focused on serving people in the things they are passionate about. During the quarter we launched CHOW, the new home base for 25 to 40-year-old food enthusiasts designed to engage a passionate community interested in food, drink and fun. I am proud of the development of CHOW. It is a good example of the way that we operate. With CHOW, we identified an opportunity in the area of food and then through a combination of prudent acquisition and internal development we built an outstanding property that combines content and community in a way that is unique to CNET Networks. CHOW combines original content from its editorial staff with the vibrant CHOW Hound community. The property includes a number of multimedia features including how-tos, podcasts, and photos. This site has been well received by users, by critics, and by advertisers. In fact, the New York Times called CHOW “a food-type spice with attitude.” CHOW advertisers already include Sub-Zero, NBC, and Bravo. We will continue develop the property and to scale its growth. We expect CHOW to be a core property in the future. In addition to broadening our brand portfolio here in the US, we continue to add new brands in key international markets, both via acquisition and by leveraging our US brands and content. In France, we acquired Art Culinaire, which although small is one of the country’s most recognized food destinations. It provides recipes, directories and editorials for food aficionados. Over time, we expect to realize content synergies between Art Culinaire and CHOW. This acquisition marks our first move beyond our technology and video game categories in Europe, which is consistent with the strategy we are successfully employing here in the US. It builds upon our global strategy to expand outside of technology and gaming. For example, last quarter we announced the acquisition of XCar, marking our entry into the developing auto category in China. We also are launching international extensions of our core properties including GameSpot Australia, a site that provides Australian gamers the latest information on the gaming industry. The site capitalizes on the strength and leadership of GameSpot.com to provide a local outlet for Australian users and marketers. While we are adding new brands to the network, we also remain focused on adding more features and functions to enhance our existing brands. In the third quarter we officially launched CNET TV. CNET TV is a collection of original video content that is designed to serve CNET users with high quality, original video programming. CNET TV offers a unique and immersive environment where users can find all of CNET’s videos online, on television and on the go. Through relationships with COX, TiVo and Verizon, television viewers are able to select popular CNET video content and view it on demand. Thorough the download feature, CNET videos are available to consumers while they are on the go. In our CNET Networks community group, Webshots launched a new streamlined look with changed navigation and additional functionality. The redesign dramatically modernizes the user experience on Webshots for both users and marketers. Webshots now features ten community-defined editor program channels organized around the most popular categories as defined by our users, such as entertainment, family, good times, home and garden, sports and travel. Also, the redesign creates more valuable ad units for marketers. Companies such as Suzuki, Chili's, Purina and Fox have already taken advantage of the new opportunities. Traffic has responded as expected to the redesign. As with all major redesigns, the traffic initially dropped but is now trending up. We continue to add new features and functionality among our CNET Networks brands as well. For example, Tech Republic, a vibrant community for IT professionals launched a redesign earlier this month. The tier redesign incorporates additional tools and functionality like tagging, search and personalization that help IT pros better connect with each other, make it easier for them to participate in creating content for the site and to customize the site to their needs. The redesigned site better harnesses both user and editorial contributions and combines them in new ways that create more value for our audience and for our marketers. Traffic has been growing and marketer interest is high. We also continue to seek new and exciting ways to engage with our users. In October, GameSpot hosted GameSpot After Hours, a dynamic program with online and offline components that leverages the excitement of live events with an in-studio audience to provide a real-time, interactive experience to gamers at home via the web. GameSpot’s online community engaged in six hours of interactive video and game play that was broadcast on five different video channels. The online audience chatted live with other participants and competed in online contests and tournaments against celebrity gamers, while witnessing not-yet-released PS3 games. Over 1,500 Bay Area gamers attended in person and about 130,000 participated online. The event was a success for both users and marketing partners. In the third quarter, our properties continue to be recognized by partners and critics for their unique content and users. In August, the Academy of Television, Arts & Sciences teamed with TV.com to bring interactive programming to this year’s Emmy’s coverage. The Academy gave TV.com special access to a wide range of pre- and post-show Emmy activities and work with TV.com’s staff of experts to create a variety of exciting ways for fans to engage in a more rewarding Emmy experience. The Emmy feature was visited by an average of nearly 600,000 unique users each day and broke several TV.com engagement records including daily page views and number of votes for polls. The CNET brand also continued to add valuable partners during the quarter. Most notably, Best Buy now features CNET reviews on its website. This partnership allows Best Buy customers to benefit from the high quality perspective of CNET editors and allows us to place the CNET brand directly in the consumer electronics buying process. We also continued to contribute to marketing thought leadership during the quarter. Partnering with StarCom Media, CNET Networks Entertainment jointly released results from an extensive ethnographic youth study. The purpose of the research was to help marketers better understand how to engage with the elusive population of 13 to 34-year-olds, a group responsible for $600 billion in consumer spending each year. The study provides insight into how young people feel about brands, how they talk about them with their friends and how they take in, manipulate and redistribute marketing messages. Some of the findings, like the fact that they value honesty and candor in marketing, were expected; while others contradicted today’s commonly held belief and highlighted the importance of brand communications. We will continue to disclose more results from this study and will be working with marketers to evolve their programs in accordance with what we learned. During the third quarter, CNET Networks brands continue to be recognized with several prestigious awards. CNET News was widely recognized for its unique perspective on the technology industry. In September, CNET News won two Excellence in Journalism awards for the Northern California Chapter of the Society of Professional Journalists. BusinessWeek magazine hosted its annual best of the web survey and readers and staffers gave CNET Networks properties including CNET Networks properties, including CNET and Webshots, a total of three awards as their favorite sites and tools. While 2006 has proven to be challenging year for CNET Networks, we are confident in our commitment to online advertising and to a long-term focus on the content category. We will not allow short-term results to slow our development. The trends for this business are attractive and CNET Networks is well-positioned. We are committed to making CNET Networks a larger company that generates sustainable top line growth, expands margins and generates significant free cash flow in the coming years. Before we move to questions, I would like to share some personal observations after being in the role for about two weeks. First, I would like to thank Shelby for his many contributions to CNET Networks. He fostered innovation and excellence at the company and those values will continue to define our culture. We owe him a permanent debt of gratitude for the vision and the leadership he provided CNET Networks, as well as the industry at large. I was first introduced to CNET in 1993 when it was only a business plan, and I saw the development of the CNET brand and of the company as an interested observer until I joined in 2002. Since that time, I have been a champion of our strategy to furiously serve our audiences and to grow the company from its technology publishing roots into new categories like entertainment, food and parenting. As we did then, we now have a special opportunity at CNET Networks. We are a different kind of media company. Although we are not perfect and we have many areas in which we can improve, we are comfortable with change. As the pace of change in the media environment continues to accelerate, we will thrive. We will continue to realize the power and opportunity of the brands we current own. We will identify and capitalize on new opportunities to build brands for people and the things they are passionate about. Through active management of our strategy and business operations, we will constantly improve our performance for our users, our marketing partners, our employees, the communities in which we operate, and our shareholders. As a pioneer in interactive content, CNET Networks has and will continue to play an important role in the evolving media landscape. That wraps up my formal comments and we would like to turn it over to the operator so we can open up for questions.
Operator: (Operator Instructions) Your first question comes from the line of Mark Mahaney – Citigroup.
 Mark Mahaney – Citigroup: Great, thank you very much, a couple of quick questions. First, what would specifically trigger the acceleration of the bond payment? Would it simply be the NASDAQ delisting? Secondly, the page view growth excluding Webshots looks like it picked up again this quarter. How should we think about that going forward? Is there a trend in terms of the advertisers cutting back on marketing spend? Do you also see that in the usage patterns, and therefore as the new video game consoles come out in the fourth quarter, as two new video games come out next year, Vista is out, et cetera, et cetera, we should see a continued acceleration in those page views, excluding Webshots? Finally, quickly, international media revenue seems like it ticked up, I don’t know, 21% year-over-year, the strongest growth we’ve seen in a year-and-a-half. Any particular reason behind that? Thank you very much.
George Mazzotta: Mark, I will take the first part of that. Our convertible bond indenture is filed publicly with the SEC and if you read through that document, you’ll realize that the acceleration will occur based on our financial filing default. After the grace period, if bonds are accelerated, we’ll pay the holders par value.
Neil Ashe: I will take the other question. First on the page view growth, as we pointed out the growth excluding Webshots was about 15% which was largely distributed across the properties, with strength specifically in our entertainment area and we see growth there in the future. I wouldn’t tie that page view growth directly to either advertiser spending or the future migrations in the games or technology industries. Obviously, we continue to be focused on audience development and all of the metrics that are associated with that, although we’re comfortable with our ability to grow against our current inventory. Finally on the international revenue front, yes we continue to improve and have a better and better year on the international front. That’s largely driven by the strength in the UK and China and in Japan; we’re pleased with the development. We continue on pace there with our changing of the assets towards a more online focused, high quality branded experience in the markets in which we choose to compete, and we are pleased with the progress there so far.
Operator: Your next question comes from Nat Schindler - Piper Jaffray.
 Nat Schindler - Piper Jaffray: You made a comment that it was again slow spending in technology and in computer gaming, both of which relate to the new products with known release dates that haven’t changed in the quarter. Would there be anything to suggest there might be another influence? Have you seen anything such as advertisers turning towards ad networks or lower-end content as some other online publishers saw in the last quarter?
Neil Ashe: No, not for our core categories. In both the technology and video game areas, we have seen our core partners there continue to manage their marketing spend tightly as they look forward to the future. I think, frankly, they are realizing some cash flow opportunities without new products to market. So I would expect them to market in the future. As you know, our properties command a premium in the marketplace and we maintain that premium and you really can’t equate ad networks to our content properties. In fact, there are some examples of advertisers that have done tests on ad networks and have come back to our properties, because of the quality of our users and the user experience. So no, I would draw that same conclusion.
Operator: Your next question comes from Imran Khan - JP Morgan.
 Imran Khan - JP Morgan: Yes, thank you very much. Hi, Neil congratulations on your new role. A couple of questions. Going back to maybe the second question that was asked on the call, can you give us a sense of what kind of CPM growth you saw for your premier content versus remnant content so far this year? Looking forward, what kind of CPM growth you might see? Secondly, you said that you expect to see spending related to Vista and Playstation. Can you give us some color? Should we expect that in Q1 or when should we expect to see that spending? Thank you.
Neil Ashe: Okay, thanks Imran. So first question regarding CPM growth, we actually focused on the output metric of RPM, or revenue per thousand pages, and obviously that has gone up as our pages have grown roughly in line with our revenue growth. You have seen a little bit more sell-through but we have generally held CPMs constant. We’ve played with rate a little bit, taken them up for the fourth quarter in some areas, but by and large we are holding rates constant. We have that luxury because we have, over the last several years, grown our traffic significantly and created a significant amount of inventory for us to realize marketing dollars. So over time, can we take areas of CPM growth up? Yes, I think so but we will be focused on continuing to manage our sell-through, maintain our premiums in the marketplace and over time, develop our audience. As it relates to the underlying fundamentals of the technology and video game industries, they are a little bit different so I will tease them apart and deal with them individually. First on the technology front, Vista is expected to launch in the first half of 2007. It should have an impact on PC sales which affects the entire ecosystem from semiconductor manufacturers to PC companies to software companies. So we would look forward to that. The technology industry, however, today is different than the technology industry in the last 90s so it is not does not have, as an industry, the same overall top line growth but is expected to be healthy and we would expect it to grow. The video game industry is different for us. Largely our business there comes from publishers who are marketing individual titles. So as the new platforms grow in their installed base there are more customers to market these new titles too. So, the deeper the installed base the more that marketers will spend for each publishing title, because the larger the addressable market. So we would expect the trends in the video game industry to last for several years as the adoption continues to increase among the video game consoles.
Operator: Your next question comes from Kip Spring - Stifel.
 Kip Spring – Stifel: Can you talk about why there is such a wide range in your revenue guidance for 4Q, I think it’s 1% on the low end to 7% on the high end? Maybe talk about what you are pacing so far? A second question is specifically for Neil, maybe if you could talk a little bit about your long-term vision of the company and maybe discuss with multiples in media internet white hot, as evidenced by YouTube, why wouldn’t you consider exploring strategic options? Thanks.
Neil Ashe: Let me take the first, on the guidance one. I think your math is inaccurate on the guidance for the fourth quarter. Our range is for $108 million to $115 million of revenue which represents 5% to 14% growth. I don’t think that range is overly large as obviously it’s a large quarter for us. As it relates to my long-term vision of the company I articulated it in the prepared comments. I’ve been here for about four years now and I have helped to be an architect of the strategy for growth and the expansion into new categories. The opportunity we saw then is the opportunity we see now which is that this is a dynamic user experience which is going to continue to grow and there will be significant continued shifting of advertising dollars online. If anything, we think that opportunity is going to get stronger as, media, which has historically been defined as a distribution mechanism, whether that be magazines or newspapers or radio or television continues to now be focused on the content – it’s text, it’s photos, it’s audio and video. We have demonstrated an ability both to build brands for people and the things they are passionate about as well as to combine those content elements with community in a unique online experience. So we are bullish on our opportunity for the future and our ability to realize that opportunity. As such, we expect that we can create value for all of our stakeholders, our users, our employees, our marketing partners and our shareholders.
Operator: Your next question comes from Anthony Noto - Goldman Sachs.
 Anthony Noto - Goldman Sachs : Thank you very much. Neil and George, a couple of questions. The first question is, what is the page view growth organically of your properties, if you exclude all acquisitions? If you don’t have that measurement, then just your year-over-year page view growth in Redball inventory? Secondly, the RPM right now is up high single-digits, about 8.7%. How long do you think you can sustain that level of growth as we think about the inputs into revenue growth for next year? I know you are not going to give specifics, but sort of a range? And then separately, you have had before a perspective that you could drive over 40% incremental margin. Given the sort of declining engagement with audience and increased competition you have talked about, would it be more prudent to increase your level of investment to rebuild a faster growth rate in audience, especially with growth online/time spent accelerating? Thanks.
Neil Ashe: Okay, so first on the page view growth, organic versus acquired, with the exception of Webshots which was obviously a large acquisition in 2004, so over two years ago, we have not made large acquisitions. Having said that, we’ve launched new properties, so TV.com which is a grower, CHOW which is a grower, but in the context of 125 million monthly unique users and about 86 million pages per day, it takes a lot to move the needle. So our numbers are pretty true to our page view numbers and growth are pretty true to the sites that we operate. The pattern we’ve used over the last several years has largely required us to build those properties and to develop their traffic. So, I’d argue that with the exception of Webshots, all of our traffic is organic. The Redball traffic is consistent. Its growing year-over-year and we’re pleased with it. As it relates to the RPM question, we’re confident that there is a lot in our RPM and prior to the acquisition of Webshots our RPM was about $15 revenue per thousand pages. So, obviously Webshots is a lower RPM property, but we think that there is plenty of head-room in the other properties. As I mentioned earlier in the call, we’ve outgrown revenue on the user and usage front over the last several years. As it relates to incremental margin, obviously the faster you grow revenue, the easier it is to bank a higher incremental margin. I would take a difference with your view of declining user engagement. As I mentioned in our comments, while page views are up 15% year-over-year, excluding Webshots, they are not the sole determinant of either user engagement or the quality of our user experience. So we are constantly honing those experiences to make them better. But nested in that question is something that I would really like to spend time on, which is that we are committed to a long-term opportunity for growth and we believe that we should invest to realize that opportunity. We will continue to invest in developing properties and in doing the things necessary to generate the content and deep and rich user experiences that we are known for. So as I mentioned, we’re bullish on the opportunity and we will, if necessary, continue to spend against that opportunity for future growth.
Operator: Your next question comes from Lloyd Wellesley - Thomas Weisel Partners.
 Lloyd Wellesley - Thomas Weisel Partners: Along the lines of your most recent comment, could you comment a little bit on where you think you might spend in terms of the existing categories you have developed versus further expansion in the new categories? Again on the remnant inventory question, to what extent are you selling your own inventory on Webshots at this point? If you could comment a little bit about the trends you’ve seen recently in pricing that you have obtained through ad networks, and whether you think that is improving from this point going forward? Thanks a lot.
Neil Ashe: So first question, where do we see where we see the opportunities to invest in future growth? Obviously, we have seen a tremendous amount of growth in our entertainment properties and we feel very good about the head room there and the opportunity for growth, specifically at TV.com. We’re very excited with the development of CHOW and we see opportunities with Urban Baby and in the lifestyle area, and we’ll continue to invest there, as well as to continue to identify new opportunities. As it relates to the Webshots inventory, we still sell a minority of the Webshots inventory ourselves, therefore a majority of the ad units are sold though ad networks. Our experience with ad networks is that pricing has been going down. As our analysis of the situation is that there is a flood of inventory for them. That’s what has driven the prices down for us. So I am not sure that we are necessarily representative of the entire market on that because we only really use those ad networks at Webshots, but we have seen prices go down.
Operator: Your next question comes from Mark May - Needham.
 Mark May – Needham: Thanks for taking may question. I understand you are trying to limit the scope of the call to a few things. I just wanted to focus on cash, the cash balance. What do you expect your cash burn -- if you are going to burn cash -- what your cash burn will be in the December quarter? Maybe if you want to comment, are there any one-time sort of extraneous cash outlays that you expect over the next few months or couple of quarters? In the prepared remarks you mentioned that the options restatement would have no cash impact, but I am wondering is there a possibility that there is a cash impact from a tax perspective? If so, can you just put it within a range of how big of an impact that could be? Thanks.
George Mazzotta: Thanks, Mark. So first on cash balances, we wont speculate or provide guidance for free cash flow and talk about today what we believe our expenses will be for the rest of the year. But I can set some context for you and I think it’s important to understand that our company generates sufficient cash to support what we believe is an appropriate reinvestment for our existing businesses and also to develop new businesses. We have a very strong balance sheet even after the payment of the convertible notes; we are left with only about $18 million worth of debt; most of which are seller notes with a small mortgage and about $77 million worth of cash. So we have sufficient liquidity, we have access to capital, and we feel pretty strong about our position. The second part of your question dealing with stock options, we will not again speculate and provide guidance for what we expect the non-cash charges to be. You know, I certainly won’t speculate about any tax implication or tax accounting. as I said before. So I think embedded in your question is, what other unusual cash items may surround the investigation and our review of stock option granting practices? Of course that has the fees associated with outside consultants, forensic accountants and legal. Again, we are not going to provide guidance for this other than to say what we did earlier, I believe on the Q2 call, which is we believe this expense, which will be unusual, will be significant.
Operator: Your next question comes from Jordan Rohan - RBC Capital Markets.
 Jordan Rohan - RBC Capital Markets: I am going to try a couple more questions along these lines and see what you will or will not answer. Let’s see, first, can you give us an idea of the general trends in gross margins for your company? Specifically, whether the mix shift towards video-based content is increasing or decreasing those gross margins; whether or not you have added to your editorial staff, things like that might be considered in cost of goods? Secondly, if you could give us an idea of the number of employees at the end of the quarter, maybe some of us can use that to try to figure out what the operating expenses may look like? Thank you.
George Mazzotta: Jordan, I’ll take the first part of this and maybe Neil could add some comments about video and what implications it has for us. But again, I have to emphasize that because we cannot file financial reports on a GAAP basis, we cannot comment on non-GAAP measures as well. So, EBITDA, volume and margins we will not comment on, on this call. The second part of your question about employees, we’ve said this before. Our total employees for the entire network averages around 2,400 to 2,500 people.
Neil Ashe: As it relates to the cost of content production I would say that it’s relatively consistent. We do continue to invest in the growth in each of our properties, but I would say that it’s relatively consistent.
Operator: Your next question comes from Scott Kessler - Standard & Poor's.
 Scott Kessler - Standard & Poor's: Thanks. Two timing-related questions that may or may not have been asked before. The first is when do you expect the issues related to your debt issue to be resolved? And when will you know and communicate as to whether or not you’re going to have to pay your convertible in full? When do you expect that issues related to stock options are going to be largely resolved? When are you guys going to expect to complete your restatements and file the appropriate filings? Thanks a lot.
George Mazzotta: First I’ll comment as I did with Mark’s question about our convertible notes. We won’t be specific about when we believe that the notes will be accelerated, but the indenture is publicly filed with the SEC and if you read through that, you understand that the acceleration is motivated by the financial filing default and that at the end of a particular grace period the notes can be accelerated. If they are, we will pay them at par value as prescribed, in accordance with the indenture, but we cannot speculate about when that may occur. Similarly, the timing and the process of our restatement, as I said in my prepared remarks, we are devoted to this effort. We are using a significant amount of outside resources to help us with this and we are very optimistic that we will resolve this in a timely manner, but we will not speculate as to the specific time in which we will go public again with financial statements.
Operator: At this time, there are no further questions. Are there any closing remarks?
Neil Ashe: Yes. I would just like to say thank you for joining us on the call today. We appreciate the attention and support that you provide to our company and we look forward to talking to you next quarter. Thank you.
Operator: This concludes today’s conference.